Operator: Ladies and gentlemen, thank you for standing by, and welcome to News Corporation's Second Quarter 2012 Earnings Release. [Operator Instructions] Right now, I'd like to turn the conference over to Reed Nolte, Senior Vice President, Investor Relations, News Corporation.
Reed Nolte: Thank you very much, operator. Hello, everyone, and welcome to our second quarter fiscal 2012 earnings conference call. On the call today are Chase Carey, President and Chief Operating Officer; and Dave DeVoe, our CFO. First, we'll give some prepared remarks on the most recent quarter, and then we'll be happy to take your questions, first from the financial community and then from the press. This call may include certain forward-looking information with respect to News Corporation's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-Q for the 3 months ended December 31, 2011, identifies risks and uncertainties that could cause actual results to differ. And these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements, the definition of and a reconciliation of such measures can be found in our earnings release and our 10-Q filing. Finally, please note that certain financial measures used in this call, such as segment operating income, adjusted earnings per share, and adjusted net income, are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of segment operating income, EPS, net income are included in our earnings release. And with that, I'll turn it over to Dave.
David F. DeVoe: Reed, thank you, and good afternoon, everybody. As you've seen in today's earnings release, we are quite pleased with our continued progress in fiscal 2012. We reported second quarter segment operating income of $1.5 billion, this is a 16% increase over last year. This improvement was led by a more than doubling of the contributions from of our Filmed Entertainment segment, as well as strong double-digit growth increases at our Cable Programming and Television segments. These increases more than offset declines at our Publishing and Other segments. There are number of items in this year's second quarter worth highlighting for you. In the quarter, we recorded $87 million in costs related to the ongoing investigation in the United Kingdom, which is reflected in the Other segment and significantly affected our operating income. We reported a $125 million pretax income in Other net line, which primarily reflects a non-cash gain related to the consolidation of Fox Pan American Sports. Additionally, equity earnings of affiliates includes a $44 million pretax gain from BSkyB's share repurchase program. And lastly, we took a $36 million restructuring charge primarily related to our international newspapers. Reported net income in the quarter was $1.06 billion, with reported earnings per share of $0.42 as compared to reported earnings per share a year ago of $0.24. Excluding the net income effect in both years of onetime items consisting of the 4 items I just highlighted, as well as the comparable year ago charges, second quarter earnings per share this year of $0.39 compared with a year ago adjusted result of $0.29 and 34% earnings per share improvement. In addition to the operational achievements, the improved earnings per share result reflects $0.02 per share benefit from reduced shares outstanding as a result of the repurchases under our buyback program. With that, I'd like to provide some additional context on a few of our businesses. Let's start with the Cable Networks. This segment continues to drive overall company results, generating nearly 60% of News Corporation segment operating income. Second quarter Cable segment operating income contributions increased 20% over last year's level to $882 million. This growth continues to be top line driven with segment revenues up 9%. Affiliate fees at the Cable Networks increased 11% over a year ago level, with domestic channel affiliate fees up 9% and international fees up 19%. Second quarter advertising revenues were up approximately 6% over last year at both the domestic, international cable channel businesses. And please note that the domestic channel ad trends includes an adverse impact at the Regional Sports Networks by the delay of the start of the NBA season. At our other domestic channels, advertising revenues were up 14% in the aggregate, driven by particular strength in FX. At our international channels, the Fox International Channels continued to report double-digit advertising revenue, while growth at STAR, its strong local currency advertising growth was more than offset -- was offset rather on a U.S. dollar reported basis due to the weakening of the Indian Rupee. As noted in today's press release, the NBA lockout resulted in a net earnings benefit to the Cable segment in the quarter of approximately $55 million, with reduced rights and production cost more than offsetting the advertising and affiliate fee reductions. This benefit will reverse itself in the second half of our fiscal year as those NBA costs now shift to our third and fourth fiscal quarters, consistent with the timing of the games under the revised NBA schedule. At our Television segment, operating income in the quarter of $189 million increased 25% over the second quarter a year ago. This growth was driven by over 20% advertising increases at the broadcast network and higher retransmission fees that were partially offset by higher programming costs from our new fall series. Season to date, the Fox network 18-to-49 ratings were up 10% excluding the Super Bowl on the strength of such new shows as X Factor and New Girl, as well as strong ratings from the NFL. At the stations, advertiser revenues were below year-ago levels due to lower political spending. Excluding politicals, local station ad markets spending in the quarter was essentially in line with a year ago. At our Film segment, second quarter operating income was $393 million. This is more than double the $189 million we reported a year ago. And it reflects significantly reduced theatrical releasing cost. The second quarter also includes strong worldwide home entertainment performances of Rio, Rise of the Planet of the Apes and X-Men: First Class. Additionally, our Television production studio generated higher profit contributions led by the growth of digital distribution revenues from licensing library content to Netflix and Amazon. Year-to-date, we've recognized approximately $200 million in total from our Netflix and Amazon deals with the maturity falling in the second quarter. Turning to SKY Italia, segment operating income in the quarter of $6 million improved $18 million from last year's reported loss of $12 million. This improvement primarily reflects slightly higher subscription and advertising revenues as well as lower programming cost and is a very good result given significant slowing of the Italian economy. ARPU of EUR 41 declined EUR 1 from a year ago, but increased EUR 1 sequentially for the first quarter this fiscal year, and this primarily reflects the pricing increase announced in December. We had 23,000 net new subscribers during the quarter, with quarter ending subs totaling -- just slightly more than 5 million. Insurance continues to run at an annual rate of about 12%. Just turning now to our Publishing segment. Operating income of $218 million declined 43% from a year ago. This $162 million decrease reflects lower advertising revenues at the Australian newspapers and Integrated Marketing Services business, as well as the impact from the closure of the News of the World in United Kingdom. Dow Jones earning contributions were up slightly, and Chase will provide more details of these businesses in a few minutes. And just to correct myself, the operating income was $218 million in the quarter. It didn’t decline by that. And in our Other segment, we reported a second quarter segment operating loss of $191 million. This is $35 million higher than a year ago. This increased loss primarily reflects $87 million of cost related to the ongoing investigation initiated upon the closure of the News of the World that more than offset the absence of MySpace losses. These U.K. investigation charges are predominantly fees to outside lawyers and advisers working on various investigations and committee hearings in the United Kingdom. Before I turn to guidance, I'd like to update you on our $5 billion buyback program and through February 7, the company has spent nearly $2.7 billion repurchasing over 160 million shares, reducing News Corporation's total shares outstanding by 6.1% compared to the start of our fiscal year. And as we announced last July and confirmed in November, we fully intend to complete this program by the end of our fiscal year. And finally, let me address our guidance for fiscal 2011. And as a reminder, we measure this guidance excluding from fiscal 2011 the $125 million litigation charge resulting in the base of $4.975 billion in segment operating income for comparative purposes. As we now look to our results for this year. The cost of the United Kingdom investigations are substantially higher than the amounts we're reflecting in our guidance at the end of the first quarter. Due to the fluid nature of the ongoing investigations, inquiries, hearings and judicial proceedings, we're unable to reliably forecast these costs for the full year. As a result, we are excluding such cost from our guidance for the full year. These costs which are predominantly fees to outside lawyers and advisers have totaled approximately $104 million through the first half of the year, including the $87 million reported in the second quarter, and we'll continue to report the amounts incurred on a quarterly basis. After excluding the full year effect of the United Kingdom investigation cost and based on all the assumptions inherent in our projections, we expect that our total segment operating income percentage growth rate for fiscal 2012 to continue to be in the low to mid-teens range above the $4.975 billion fiscal 2011 segment operating income base level. I think at first glance, this growth may appear rather conservative given the strong results generated in our first 6 months of fiscal 2012. However, there are a number of timing items worth highlighting for you. As mentioned previously, the approximately $55 million benefit realized in the second quarter from the NBA lockout reverse in the following 2 quarters. Additionally, the majority of the anticipated Netflix and Amazon revenue for this year have already been captured through the second quarter. And also note that Fox big animated release this summer, Ice Age 4: Continental Drift will be released July 13, with the majority of the releasing cost but no revenues hitting this year's fourth quarter. And this compares to a very strong second half of fiscal 2011 led by the profitable theatrical performance of Rio in last year's fourth quarter. And with that, I'd now like to turn the call over to Chase for his comments.
Chase Carey: Thanks, Dave, and welcome, everybody. The last quarter's been one of steady progress on our key strategic objectives. In our U.S. Cable and Broadcast business, our goals are to build unique and distinctive channels that can be market leaders in the competitive arenas. To invest intelligently in key content that can strengthen these channels, to be opportunistic about ways to grow new franchises, and to generate revenues that reflect the fair value of that content. We're executing pretty well on all these fronts. Our big channels like FOX, FX and FOX News continue to be leaders, distinguish themselves from our competitors. Emerging channels like FOX Soccer, FUEL and Fox Movies have added exciting new dimensions to the businesses. New long-term arrangements with the NFL, UFC and FIFA for the World Cup will anchor growth for both our Broadcast and Cable businesses. We continue to look for ways to grow new franchises like the X Factor on FOX and the new Charlie Sheen sitcom on FX. We're building new properties like MundoFox to take advantage of unique partnership opportunity with RCN to tap in to the rapidly growing Latino market. And we continue to complete retransmission in affiliate agreements that recognize the value of our content. We see long-term growth opportunities through authentication and believe it is the right strategy for content owners, MBPDs [ph] and consumers. Much of it just needs to be executed better. The advertising markets, while not quite as robust as they were 6-plus months ago, remain solid. In the March quarter, the broadcast network is still seeing scatter pricing at a premium to the strong upfront pricing and the stations excluding last year's Super Bowl are seeing a March quarter up around 5% on last year with the business getting stronger. We're also taking share from our competitors with Fox Television station setting market share records in the December quarter. The channel side is more varied with FX continuing to see strong double-digit growth while locals sports at the lower end are up mid-single digits. The International Cable Channels business, our strategy is much the same with a higher focus on growth to take advantage of both underlying market potential and opportunistic expansion. Competitively, our channels have never been stronger. From STAR in India to our group of Latin American channels, our market share and competitive position continues to improve. We're investing in key content on a global basis to further differentiate our channels. We set rating records with the launch of American Horror Story, and we look forward to the global premier of Kiefer Sutherland's Touch next month. We continue to add key new franchises to build on this strength. Most recently, in Latin America, we acquired control of Fox Pan American Sports, a leading Latin American sports business, and launched Fox Sports Brazil. We're working on some exciting new opportunities in Asia too. These businesses continue to perform ahead of expectations with results from the developing markets of Asia and Latin America significantly offsetting a bit of softness in a few western European markets. At our distribution platform businesses, our goals are to grow market share through premium content, technology leadership and superior customer service wrapped around our unique brand offerings. In Italy, we successfully tackled the competitive challenge from our major industry competitor, as well as a challenging regulatory environment to regenerate growth and excitement in our business. We recently added a renewed key sports right to continue to expand initiatives like HD and DVRs. While this business is pretty resistant to economic headwinds, it's not immune. We do expect short-term growth to be impacted somewhat by Italy's macro issues, but we are extremely bullish on its long-term potential. In Germany, our growth has been even more dynamic. This growth strategy requires capital. We just entered into another capital support agreement, and while Germany is still a work in progress, the management team has done a great job the last year and has established real strength and growth to –- in a business in Europe's dominant economy. As a media company, we believe the explosion of consumer demand for digital content, driven by the upsurge in emerging platforms in international opportunities makes this a great time to be a content leader. However, we equally recognize this is a business driven by quality, i.e. hits, not quantity and we strive to find the right balance for success. It's also a business that requires discipline and expertise to navigate challenging economics. All these were complexities require a great management team and we have teams on both our film and TV production businesses that are second to none. These businesses have proved adept at managing the slowdown in transition in the home entertainment market, exploiting the digital market in a disciplined manner and maximizing international market opportunities. In our Publishing segment this is clearly a tough year as we're seeing significant year-over-year declines in the U.K. papers, the Australian papers and our integrated marketing business. We expect fiscal 2012 full-year results for each of these businesses to be down around $100 million, actually we expect the U.K. to be down $150 million plus for the full year. In the U.K., the impact from the closure of The News of the World has been exacerbated by a very tough economy. But as we said many times, we're committed to making things right in the U.K. In Australia, the economy has also severely impacted our business. We have a new management team in place that is focused on restructuring this business to address the challenges and we tackle them from a position of strength through our world-leading franchises. At our integrated marketing business, our issues stem from the changing dynamics of the in-store side of our business. On the coupon side, business is operating on plan. To address these challenges, we're executing a strategy that includes expanding categories of stores, adding or significantly expanding our relationships with key customers like P&G and completing multiyear agreements to recapture some of the lost growth in this business. The one Publishing segment that is up year-on-year is Dow Jones, although we believe we're just scratching the surface of the potential for this business in today's digital world. We just announced a new CEO who was already at work on plans to deliver on that potential. I want to be clear, while these Publishing businesses face the challenges of a maturing print market, we believe there's a real opportunity for quality branded news, particularly if digital platforms continue to evolve. We are committed to being a leader in news and information and we remain confident in our ability to transition these businesses. Bottom line, we feel really good about the momentum to our business and believe we have a lot of upside over the next few years to our overall results. With that, I'll turn to questions.
Reed Nolte: Operator, we'd like to go to questions from the investment community now, please.
Operator: [Operator Instructions] Our first question will come from the line of Jessica Reif-Cohen, Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I want to ask you about affiliate fees. Can you talk about the outlook? I know you have a new distributor deal in place for fiscal Q3. Can you give us any sense of the growth for the back half of the year? And on the international affiliate fee side, is that increase of subscriber growth? Are you seeing any increases in the per sub affiliate fees?
Chase Carey: I guess from the first -- I mean, the second half, I only get too part [ph] of the quarter-to-quarter. I think these are better looked at year to year. I mean the second half of the year will be higher growth than the first half. But as we said before, we feel pretty good that as we look out over the next couple of years, the type of growth we've had, that sort of 10%, 10%-plus growth in affiliate fees is something that we can sustain. And we obviously have an array of deals coming up. I think the most recent is DirecTV, which we'll give a little headwind to the -- give a little tailwind to the second half. But I think to get it into too quarter-to-quarter it gets too sensitive to the signers [ph] of timing of deals. But at aggregate, I think we believe we have a momentum. The momentum you've seen the last few years, is the momentum we believe we can continue as you look out the next few years. In terms of International, I mean, it's certainly both. We're investing in those channels, we're building better channels. And there's a question, both subscriber growth and rate growth are very much at the heart of strategies we're employing as we build these businesses around the world.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Can I just sneak in one other thing? You mentioned investing in things like the Spanish-language network. Can you just give us a sense of how that big investment spending will be over the next year or so?
Chase Carey: That's particularly because of the partnership with RCN. I expect that we really like to build [ph] and I think that's an investment in the tens of millions, multiple 10s. It's not 10 or 20 but it's 10s not 3-digit millions. We think we have a really unique partner that has really created a product for that marketplace that is distinct from what's there. We like the growth in that market, and we think it's real opportunity with a unique partner to build a really attractive business in an exciting segment of the marketplace.
Operator: The next question comes from the line of David Bank, RBC Capital.
David Bank - RBC Capital Markets, LLC, Research Division: Two quick ones. The first is, Chase, could you give us a sense right now of what the average affiliate ONO retrans fee is across the group right now? And the second question is, we thank you for the clarity on the buyback commitment through the end of the year. Just to push a little further, could you kind of comment or reiterate on your overall capital plans in terms of your allocation for M&A? Any more you want to say that sort of goes beyond the year even generally for capital allocation?
Chase Carey: I mean I think it happened in the past and probably don't plan to get into what are the retransmission rates we're looking for. I will say we're on target with what we set out to do. And continuing to work both sides of both the ONO side and the affiliate side of it. And this is an area that we think is critical to us and I will say we think we are certainly making headway but still what we're getting would not reflect the value of our content competitively in the marketplace. But we're trying to be constructive and consistent. And to date, we're pretty much right on target with our plans. But we haven't really put the rates out there, and I don't think we plan to put the rates out there. In terms of capital, I don't think we're in that different place than, and I start to say what I said in the past I think continues to be sort of pretty much the same -- where we're at today. I mean we continue to have a -- and we recognize an overly liquid balance sheet. We recognize we still have an overly liquid the balance sheet when we finish this buyback. I think we are trying to work towards a place where we've got a appropriate level of leverage, enough cash in the balance sheet for flexibility but not excess liquidity we got now. We'd rather be building businesses than acquiring businesses, but I think if we can find businesses to acquire that -- or buy that meet our thresholds, and that's a threshold again to me that is sort of a mid-teens return. We think those are investments to make. I mean, take the, I guess the Latin American investment. It achieved 2 goals for us. One, we had a minority stake we'd like to -- and we said that before, we think that's a good opportunity to stake something we own a third of to, take full control and make it an operating business as opposed to an off balance sheet investment. I think we should be -- the businesses we're in, we should be striving to the ones we like to own. If it doesn't make sense, then go the other way. So that's a business that achieves that goal and we're very excited about the growth. I mean, it far exceeds any of the thresholds we have for return on that investment. We're very excited. Latin America has been a real area of growth for us in the Channels business. We think this adds a real dimension to that business. And we're very excited about the ability. And has with it the building of business. I mean, this is an early stage business in Latin -- brings with it the opportunity to build the sports channel in Brazil which we didn't have before. So I think if we can find opportunities like that, that bring those sorts of dimensions to it, we think that's the type of opportunity we're clearly looking to pursue.
David Bank - RBC Capital Markets, LLC, Research Division: Just one quick follow-up. I mean do you think it's fair to infer then, given the kind of numbers you are talking about for that opportunity, is it fair to infer that at this point we could be expecting the kind of intermediate term run rate of capital returns to shareholders that we're seeing right now? Or is that we just can't infer that?
Chase Carey: Look. I mean, we have -- I recognize I get asked question about sort of a buyback deal on this buyback. And as I said, we recognize -- we continue to have liquidity, excess liquidity. Our stock continues to be undervalued. I think another buyback is something we certainly probably think makes sense. We haven't made that decision at the board. We'll make that decision before we certainly get to the end of this buyback, which as Dave said, be no later than June. But I think this is one where I'd like to see sort of got a -- I think you can look to where you're going in terms of what liquidity, what's the leverage, what's the strategy in terms of -- of how you invest. And we'll make those decisions as we go along. And I guess we try to lay out that philosophy.
Operator: Comes from the line of Doug Mitchelson, Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Question also and I’ll throw a clarification in there. The clarification first, you said FX was strong double digits in the March quarter. And I was just curious if it was a similar growth rate in the December quarter? Or a little bit lower? A little bit higher? Where, obviously, it's a good comparable to other groups that are out there. And then Chase, the question is, I think you said in your prepared remarks you felt execution on authentication needs to improve. I think everyone on the call probably has their own opinion on this, but I was curious to see if you would expand on your view relative to that comment.
Chase Carey: Sure. I mean what I really said, I meant FX is probably more scatter pricing. I mean sort of -- I think in FX today, you'd see -- we had strong upfront and we’re probably seeing scatter pricing that is probably in the neighborhood of 20% up in the March quarter. What we have, if you look at the revenue in the quarter, probably the second quarter was a little stronger than the third, but FX is -- we're thrilled with the momentum behind FX and everything they've done. FX has been a great story for us.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: I was really trying to get to the overall ad marketplace where there was sort of similar in March to December or better or worse and FX is the proxy. So...
Chase Carey: I think actually if you took it in aggregate, I think for the Cable group, it will be strong. It's -- on terms of authentication, I think it is the right solution. I think I guess my degree of, I don’t know if you call it frustration, with it is, we're talking about it when I was back at DirecTV over 2 years ago. So I mean I think in this world, you can't spend 3 or 4 years getting something going. So I think sort of all of us just have to do a better job of moving these things forward. And I think it just takes too much time -- I think it is the right solution and I think it is the solution that, again, I think serves everybody's purpose, including consumers, in bringing a much more exciting proposition to the marketplace. I think the product we provide, if we can continue to enhance it, actually is a great value for the consumer. But we've got to do our job and make sure we're delivering. Delivering great –- [indiscernible] service, we got to create exciting content, we got to add new dimensions to it to excite them. I mean if we can add all those things, I think somebody like Apple has proved it. Apple doesn't win by being cheap, Apple wins by creating a great experience. It gets fair value for it. And we've got to do our job, but we can't take the time we've taken to try and get this going. And as a secondary concern, it's a little bit, it's sort of historical objective to try to move this forward in a wall guard mode and I think for December, this world of technology is going to run over the wall, so I'd rather see a much more open architecture around authentication. But I want to -- I think it is -- I think TV Everywhere, authentication whatever you want to call it, is the right solution to the marketplace. But we've got to execute better.
Operator: Comes from the line of Michael Nathanson, Nomura.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: I have one for Dave on housekeeping and one for Chase on our sense. So Dave, everyone's called out the impact of the NBA so far on these conference calls. Can you give us a sense of what organic advertising and [indiscernible] growth would've been apples-to-apples with NBA in the numbers? Or kind of just give me apples-to-apples for the quarter?
David F. DeVoe: Yes, I thought I said it actually, 14%.
Michael Nathanson - Nomura Securities Co. Ltd., Research Division: 14% for advertising, and affiliate fees?
David F. DeVoe: Slightly less than that. Yes, it's been probably about 9% apples-to-apples, yes.
Operator: The next question comes from the line of Richard Greenfield, BTIG.
Richard Greenfield - BTIG, LLC, Research Division: Could you talk to you education initiative? I think it remains a major source of concern for investors in terms of kind of what you're going to do with future spending in this category. I don't think anyone really knows much about your plans. Where is it going? Would you ever consider buying a company such as McGraw-Hill or Pearson to accelerate your strategy. Just anything you could tell us would be helpful. And then just a follow-up on the RSN side of the business. Time Warner Cable appears to be doing just fine without MSG, notwithstanding what they're trying to do with the new net in LA. How do you think about the sustainability of your RSN business?
Chase Carey: I guess in the Education business I'll start up by saying we're not buying -- we're not buying Pearson or McGraw-Hill. The Education business, we're very much in an early-stage building mode. It is a business I talked to you earlier on in different context about our desire to build businesses, not buy businesses, that's what we're doing here. And we are currently investing in the business. Sure hiring people and putting and investing really in people and technology. It is very much ramping up right now. I think as we look at this full year, we will probably invest or I guess realistically it’ll sort of take a P&L loss, sort of $75 million plus probably for the year. The majority of that will be in the second half of the year. Because if that's where the ramp-up kind of phase of this is. We think it's the right way to build this. We don't have any legacies, we're not burdened by protecting any historical businesses. And we think building is a real opportunity to create value. We think the opportunity continues to be to use digital technologies to be disruptive to enormous business stuck decades in the past. And we think we put a team together. Joel Klein has hired a number of really world-recognized experts in this field. And we think we have a team that has a real vision for how they're going to capitalize on this. I think our plan for everybody there is probably -- in the next few months, probably before the next earnings call, would be to provide a bit more visibility to what those plans are, where we're going with that. Again, there's a lot going on today in that arena. And I think we will try and in coming months to provide better visibility to it. What was the second part, Richard?
Richard Greenfield - BTIG, LLC, Research Division: Just in terms of the RSNs,...
Chase Carey: I don't know what -- I really know what -- what's really happening in New York. I mean, first, New York’s a pretty unique animal, I guess anybody who has been in a New York apartment goes trying to see how many choices you got for a provider. So it's not a typical market in terms of -- one of the consequences of not having key programming. I think we're pretty comfortable in the importance of sports, the value of sports and ultimately, as David always says, sports are tribal, which means local. So we look at the business. We feel very good about and continue to believe we can do exciting things.
Richard Greenfield - BTIG, LLC, Research Division: And Chase, just a follow-up, when do you think would be the earliest we start to see actual revenues start to flow in from the Education side?
Chase Carey: Again, I think it's probably better -- they're moving pretty fast, but I think it's probably better to let -– rather than give piecemeal. [indiscernible] I think Joel is probably the right person to give you a better and a more complete understanding of it. He'll do that but I think just sort of do it piecemeal probably won’t do justice to it.
Operator: It comes from the line of Ben Swinburne, Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: One question from your prepared remarks and then one follow-up. On the newspaper Publishing segment, Chase, I think you mentioned $150 million headwind this year at the U.K., $100 million on Australia and $100 million at inserts, so $350 million total, did I get that right for the year?
Chase Carey: For the year, yes, that's right.
Benjamin Swinburne - Morgan Stanley, Research Division: And then on the Netflix-Amazon number, I think you said $200 million fiscal year to date, most of which already been booked. Is that...
Chase Carey: That's revenue.
Benjamin Swinburne - Morgan Stanley, Research Division: That's revenue, right. Chase, what do you think happens to that business if you say over 2- to 3-year period, I don't know if you would define it as a business but at least the sort of new digital licensing revenues that the industry is generating. I think there's a lot of debate about the sustainability of those business models long-term. But I'd be curious just to hear your thoughts and if you think that business gets meaningfully larger for the revenue line for News Corp. over a sort of 3- to 4-year period as these initial contracts re-up.
Chase Carey: I mean, I don’t see how the business doesn't get larger. I mean, it just seems every time you –- we get somebody new talking about coming into the business, creating digital platform. Last year's Verizon and Redbox. I'm not sure I can figure out the partnership. But Verizon [indiscernible] digital distribution. So I think without question, I think that business gets much larger and I think even existing players. And sort of obviously Netflix went through a bit of a roller coaster, but they sort of seen to have, to their credit, re-found their footing. And we have long -- and one of the nice things is, essentially with the existing players when we booked it this year, we have recurring annual revenue because really we have structures that give up the ability to continue to renew and extend and put product in every year, to charges [ph]. And then as you get new players coming in, it gives us an ability to expand that market around new players. But I think this is an arena that has enormous growth. And as you think about sort of everybody including the big guys that are sort of, whether it's the Googles or what have you, that talk about the Googles, the Apples that all sort of –- I think, not clear where they're going but ultimately I don't think anybody is sort of not saying that video isn't, video isn't a core part of the future. And which is why, I made the comments about I think the importance of value of content, our desire to invest in content, our desire to be a leader in content and make sure we have really unique, whether it's acquired or created. It's got to be both. But control as much content as possible to take advantage of it.
Benjamin Swinburne - Morgan Stanley, Research Division: Would you expect someone to go out with a full sort of virtual cable product, live linear channels as well?
Chase Carey: I mean, there’s some talk. I think there's a lot more complexities around that, whether it's capacity complexities or other dimensions. I mean, I think in some ways, I mean, so you hear some of the buzz -- in many ways, I think the greatest opportunities are always when somebody sort of figures out, develops something new for the market as opposed to just me toos. I'm not smart enough how to figure that out. I guess the guy who does will do well. But I think you'd like to sort of figure out how do you create new experiences that take advantage of these technologies, not just sort of me toos.
Operator: Comes from the line of Anthony DiClemente, Barclays Capital.
Anthony J. DiClemente - Barclays Capital, Research Division: I just had a question about advertising. I'm trying to square away. It seem like if you back out the NBA lockout you talked about 14% growth. I take a step back and look at the TV station trends, I think you said last quarter was sequentially in line. So I'm interpreting that as flattish last quarter.
Chase Carey: Flat without politicals. With politicals in, it was actually down, more like -- I think like 12% or something. So think of flat and x political.
Anthony J. DiClemente - Barclays Capital, Research Division: Okay. Right. So I guess my question is bigger picture, why -- it seems like the national cable TV advertising marketplace seems like it's pacing and trending a lot stronger than the TV station group. And in your mind, what are the biggest reasons why that is?
Chase Carey: Actually, I'm not sure I'd say -- again, we've take -- on TV side, Broadcast side, our scatter market, it used to be a solid scatter market. We just went through -- I see cancellations for -- the June quarter just came in at the low-end of what would be a historical number. On the station side, we're up 5%. Actually, if you take out -- if you really do an apples-to-apples in adjustments because there was an NBA, NFL game that fell in there, it's probably more like 7%. So you've got -- you got a solid business on the kind on the station side. So I think it may be a bit more [indiscernible] but I think for us, we clearly have some franchises on the Cable side, in the FOX News, it's going into a political cycle, so it'll have benefits of the political cycle, I talked about the strengths of FX and sort of -- and I think the success it's had and I think it benefits from that. And look, we're investing in more content there, so you expect to be delivering. Not that we aren’t investing in content on the Broadcast side too.
Anthony J. DiClemente - Barclays Capital, Research Division: Just one quick follow-up, which is the answer to your question before about capital allocation. And I'm not sure if you mentioned dividend as part of your considerations there. If you look at other U.S. media companies, dividend yields are a bit higher. And I just wonder, is that -- is dividend growth or higher dividend yield a consideration at the board level when you go through the conversation?
Chase Carey: For sure. I mean I think dividend -- I think it did increase just a bit.
David F. DeVoe: We increased it last -- the increase was $0.15 to $0.17.
Chase Carey: I mean, it is, it should be. I guess I always have a little bit of a bias when your stock's undervalued to a buyback. But it should be worth a dialogue, and I think it very much is.
Operator: That comes from the line of John Janedis, UBS.
John Janedis - UBS Investment Bank, Research Division: Can you give a little more color on relative to $1 billion operating income goal. I mean realizing it gets only about 1/3 of revenue from advertising, to what extent can maybe a weaker global macro environment impact will you see [ph] growth under the renewals? How does the global ad market look? And how many channels do you expect to launch this year?
David F. DeVoe: We just launched 4 or 3, I guess.
Chase Carey: It's tough to do a channel launch. There's a lot of –- there’s only so many countries, a lot of times you're launching something regional or countries. So I think in general, in many ways, I think we're looking opportunities. I probably say the focus is a little more on quality as opposed to quantity. I mean I think we like but I think quality always wins out and you want to have big strong channels. And so I think it has a sort of bias and it's sort as both just the pure land grab of volume in channels. I mean, I think there are opportunities, like I said, that sports in Latin America is a truly unique one. And mention, we got a couple of things in Asia going on that I think are equally exciting for us. But I feel like good opportunities to add channels but in many ways I probably said right now the greater focus is on sort of continuing improved quality of those channels to drive that upside. Any time you try to get into global trying to predict global macroeconomics. [indiscernible] I wish I have that type of crystal ball. I mean most of our growth is coming out of places that are not -- that what everybody is talking about. We're getting a little bit of -- within a few Western European countries. But even there, some of those are fine and certainly Asia and Latin America continue to be strong and are not -- and people talk of problems. And these are businesses that, again, what I said in the comments, they're not immune to economic challenges but they hold up pretty well against these stack-up industries and sort of what the impact on it. One of the great things about these subscription businesses, they're pretty resilient when it comes to large issues. Now obviously, if you had something truly sort of catastrophic, I don't know how anybody predicts what that means. But we feel pretty good about where these businesses are, what their future looks like.
Operator: Comes from the line of Alan Gould, Evercore Partners.
Alan S. Gould - Evercore Partners Inc., Research Division: Chase, you've just hired an executive from Bloomberg to run Dow Jones. How much of an opportunity is there to take Dow Jones more into the digital realm than it is more into the professional area? And will this require a major investment?
Chase Carey: No. First, I think and only just I touched on it. I think it’s an enormous opportunity. This digital world is going to make quality information I think more valuable than ever. And if you want talk quality information, I mean The Wall Street Journal, Dow Jones is the top of the heap. And I think to date, a lot of our focus has been on the journalist consumer product will sustain the other business but I think we really have not taken advantage of the opportunities to develop the broader digital franchises that can be grown out of -- and we've grown, so I'm not saying they haven't -- the people there have not undertaken initiatives. But I think there's a real set of opportunities for us to create products. And I guess you can certainly hit it the B2B, B2C. I'm not sure it's not sort of continuum. I mean in many let's say is a professional individual, a consumer or a business person? And I think that's sort of what we're going to create. What we need to create is products that have a continuum from sort of obviously [indiscernible] base and the ability to create products that tier up from that, whether they're targeted or deeper that take advantage digital technologies. And in many ways, a little bit like I talked about elsewhere, one of the great benefits we have in building these things is we can take advantage of the digital technological infrastructure that's been put in place. And we are not building with some of the legacy infrastructures that others may have. I think mostly it's taking advantage of what we got. And focusing the discipline, I don't think it's -- I mean, I know it’s going to be some decreases in investment. But I don't think it's a big investment that we're taking. It think it mostly focusing on the right opportunities.
Operator: And that comes from the line of Jolanta Masojada, Credit Suisse.
Jolanta Masojada - Crédit Suisse AG, Research Division: Chase, just following up on an earlier question. Can you talk about in the first half of Film, how much of film profit is coming from digital rather than how much revenue is coming? And what's your view of the long-term potential for digital growth to compensate for DVD declines?
Chase Carey: You mean, how much of the home entertainment? I'm not sure I can do this. I mean, clearly it's more -- the DVD business is still the majority of it though the growth is certainly Blu-ray and electronic digital distribution. Our growth there if you look out at future. I mean DVDs are going to be around for a long time. People like them and people continue to have them. But I think, as you said, where is the business going longer-term? It's going to migrate towards form sort of digital distribution. So I think that is the longer-term future, but I don’t want to imply that DVDs don't have real legs. I mean, actually, Blu-ray has been a pretty good growth driver and Blu-ray growth rate grew at sort of like 20% or something right now. So we're going to -- we're certainly not going to just -- we're going to continue to make sure we manage that business intelligently and make sure we focus on both long-term as obviously always we're driving towards but be intelligent about the short term. And I think the DVD business continues to have legs.
Reed Nolte: Operator, now we would like to go to questions from the press, if we could.
Operator: [Operator Instructions] Our first question will come from the line of Edmund Lee, Bloomberg News.
Edmund Lee: Of the $104 million charge taken for cost related to the hacking issue, can you give us some sense of how much of that was for settlements? And how much you might have sort of set aside this coming year for pending settlements?
David F. DeVoe: I think it the vast majority for that number is, as I said, for professional fees. I would say more than 85% of the cost. Or said in another way, 15% of the cost related to the settlements.
Edmund Lee: Related to settlements. And then moving forward for this year, is there a sense of how much you set aside for settlements for this coming year?
David F. DeVoe: No.
Operator: Next question comes from the line of Russell Adams, Wall Street Journal.
Russell Adams: Chase, can you give an update on what's the status of your talks on the Dodgers is? Are you engaged with any bidders?
Chase Carey: Yes, I'm not going to go too deep into it because it's a process in motion now. Right, they’re probably engaged with a lot of bidders. We'd like to -- [indiscernible] said before, we're not looking to buy the team. We're looking to see if we can do something that makes sense in the media rights, we'd like to do it. And we're talking to a number of the bidders. I think timetable out there is pretty public, I think it's got a decently short timetable to come to move through the next few months. And we'll see if there's something that makes sense for us.
Operator: Comes from the line of Andrew Edgecliffe-Johnson, Financial Times.
Andrew Edgecliffe-Johnson: Chase, I wonder if you can give us any more detail on that statement you made about expecting $150 million decline from the U.K. papers. Is that about circulation, advertising, restructuring, costs for a Sun on Sunday or what is that?
Chase Carey: No, the vast majority of it is the impact of having closed the News of the World. I mean obviously that...
Andrew Edgecliffe-Johnson: Just lost income?
Chase Carey: Revenue that we used to -- I mean we have large -- there's a big business there that has a lot of sort of fixed cost. But a big infrastructure in terms of sales and circulation and other overheads that supported multiple papers. And 1 of the 4 papers that it supported and generated revenue went away. So the vast majority of it is essentially the impact of the lost revenues of News of the World.
Operator: Comes from the line of Inka Evidelsi [ph] with Reuters.
Unknown Attendee: With the resignation of John Hartigan leaving the company in Australia, there's been a lot of speculation that Lachlan Murdoch might come back to the business. Could you comment on that, give us any sense if that might happen anytime soon?
Chase Carey: I think Rupert said clearly in the past, he'd be thrilled to have Lachlan back in the company. But right now, there aren't any plans to announce.
Operator: Comes from the line of Ryan Nakashima with Associated Press.
Ryan Nakashima: Since you said most of the costs related to the phone hacking is for legal fees and things like that, I mean, how far in the future do you think that will continue? I think there's several ongoing investigations, right?
Chase Carey: We're not -- look, our priority on this is to make things right. Not that we're not going to try and be intelligent about the costs. But our priority is to get on top of this and make things right. That's going to be our focus, and not going to -- it may be difficult to predict. I mean, we're working with authorities. We don't necessarily control all the -- we're cooperating with authorities and that to some degree dictates part of it. But we're not going to predict or target it. We're going to do what's necessary to make things right.
Operator: Comes from the line of Peter Ryan, Australian Broadcasting.
Peter Ryan: For Chase Carey, just back on The News of the World and the phone hacking, you have said that you do want to put things right. But could you give us an idea of what is in the pipeline as far as the lawsuits from hacking victims? And how are you managing that on a day-to-day basis? What's the process for these victims that appear to be coming forward?
Chase Carey: I don't probably have -- what is that -- I'm not the one managing it day-to-day. We have a group that's put in place to manage it. I don't know whether -- what has been said about it so I'm really probably not in a place to give you that type of detailed color commentary. Thanks a lot.
Reed Nolte: Thanks a lot for joining us today. If you have any questions, please give us a call here in New York.
Operator: And ladies and gentlemen, today's call has been recorded for replay. It will be available after 6:30 Eastern tonight through February 22 at midnight. You may access the AT&T replay system by dialing 1 (800) 475-6701 and entering the access code 234736. International participants may dial into the United States at (320) 365-3844. That does conclude today's conference. You may now disconnect.